Operator: Hello all, and a warm welcome to the IHG First Quarter Trading Update to 31st of March 2022. My name is Lydia, and I'm your operator today. [Operator Instructions] 
 It's my pleasure to now hand you over to our host, Stuart Ford. Please go ahead, when you're ready. 
Stuart Ford: Many thanks, Lydia. Good morning, everyone, and welcome to IHG's conference call for the first quarter of 2022. I'm Stuart Ford, Head of Investor Relations at IHG. I'm joined this morning by Paul Edgecliffe-Johnson, our Chief Financial Officer and Group Head of Strategy. 
 Just to remind listeners on the call that in discussions today, the company may make certain forward-looking statements as defined under U.S. law. Please refer to this morning's announcement and the company's SEC filings for factors that could lead actual results to differ materially from those expressed in or implied by any such forward-looking statements. [Operator Instructions] The release together with the usual supplementary data pack can be downloaded from the results and presentations on under the Investors tab on ihgplc.com. 
 I'll now hand the call over to Paul. 
Paul Edgecliffe-Johnson: Thanks, Stuart, and good morning, everyone. I will start, as usual, with a review of our trading performance. You will have seen that we're still providing monthly RevPAR data in our release as well as giving you both the year-on-year movement and the performance relative to 2019. 
 RevPAR has continued to recover and gained momentum through the quarter. On a group by basis, RevPAR was up 61% on last year. Relative to 2019, RevPAR was down 17.7% for the quarter as a whole, broadly similar to quarter 4, which was down 17.1%. This was despite January experiencing particularly challenging trading conditions due to the impact of the Omicron variant, resulting in RevPAR that month being down 24%. Trading improved to down 18% in February and to a deficit of just 12% in March.
 Average daily rate was up 27% on 2021. This meant it was almost flat against 2019 levels, while occupancy was down 11 percentage points. Global occupancy was 52% for the quarter as a whole. And by March, it had risen to nearly 60%. Clearly, it's been another period of differing trading conditions by region, but the strong demand we've seen in markets that are fully reopened means we remain confident of a full recovery. We've seen particularly strong leisure demand and the increasing return of business and group travel. With the pace of demand, together with the strength of our brands, we have experienced strong pricing power.
 Looking now in more detail at our regional performance. For the Americas, RevPAR was down 8% versus 2019 and by just under 6% in the U.S. RevPAR sequentially improved in the U.S. through the quarter, from down 12% in January to down 6% in February and a deficit of only 1.5% in March. ADR across the U.S. business was up 4% in March with leisure rates up more than 10%.
 Events, conventions and conferences showed very encouraging improvement. Leisure performance was further boosted by a strong spring break vacation period. This contributed to leisure rooms revenue for the quarter being 10% higher than 2019. With what's on the books, we can see in the coming calls that both leisure room demand and rate are anticipated to exceed 2019 levels. This gives continued reassurance on pricing power, which we expect will only strengthen with further rebuilding in corporate and group activity. Development in major urban markets has been recovering in recent months. In January, the top 25 U.S. markets were 24 percentage points behind the rest of the country in RevPAR versus 2019. By March, that gap had narrowed to only 14 percentage points with the top 25 markets down 10% and the rest of the country is up 4%.
 There remains a wide disparity in the pace of recovery of these major urban markets. In March, San Francisco was still down approximately 50% versus 2019, whilst New York and Boston saw significant improvements to be only 20% lower than pre-COVID. A number of more leisure-orientated urban markets, such as Miami and San Diego exceeded 2019 levels.
 Moving on now to our Europe, Middle East, Asia and Africa region, where RevPAR was down 33% relative to 2019. In the U.K., RevPAR was down 15%. Similar to the U.S., non-urban and leisure properties were key performance drivers. The London has also seen strong recovery in recent months. Continental Europe was 45% down with the slower recovery owing to lockdown restrictions remaining in place for longer in several markets. RevPAR performance in Australia was 38% lower than 2019 for the quarter as a whole. However, the resumption of international flights at the end of February, shortly followed by the full reopening of Australia's internal borders, maintenance recovery accelerated towards the end of the quarter.
 Performance in the Middle East was strong with RevPAR for the quarter at only a 7% deficit to 2019. Within this, the UAE was 2% up driven by the final months of the Expo event in Dubai. Recovery in Saudi Arabia continued as holy site capacities have further increased, resulting in March being up by more than 12%. Finally, moving to Greater China, where COVID restrictions have resulted in a challenging trading environment. RevPAR across the region was down 42% against 2019. Strict lockdowns affected demand across a number of Tier 1 and Tier 2 cities. And with these feeder markets effectively shut down, occupancy in Tier 3, Tier 4 and resort locations was also impacted.
 Within Tier 1, Shenzhen was impacted most severely from COVID restrictions during the quarter with RevPAR down 77%. Guangzhou in close proximity was down 49%. Tightening of restrictions in Shanghai did not take full effect until March. However, RevPAR was still down 40% for the quarter. These restrictions have been in higher RevPAR locations with around 1/3 of the estate temporarily closed or repurposed for quarantining, there was a 17% ADR reduction. We don't know the future extent or length of restrictions. With what we saw on each occasion in 2021, is whenever restrictions are relaxed, demand sharply returns thereafter.
 Turning now to net system size. Over 6,500 rooms were opened in the quarter. 2,000 rooms were removed, equivalent to less than 25% of our system, resulting in net system size growth of 0.5% year-to-date. Our net system size reached to 885,000 rooms and our hotel count over 6,000. Annualized net system growth for the first 3 quarters of the year will be impacted by the effect of the Holiday Inn and Crowne Plaza review, which was completed by the end of last year. When adjusting for the abnormally high number of removals is required, net growth was 3.4%. Before adjustment, year-on-year growth was 0.1%. The need for this adjustment will, of course, roll off by the end of this year.
 We signed more than 16,500 rooms into our pipeline in the quarter, 15% higher than in the equivalent quarters in 2021 and 2020. The pipeline increased 2.4% from the start of the year to a total of 278,000 rooms. The strategy we've been following the stimulating growth is evident in the signings performance. Signings for our luxury and lifestyle brands represented 20% of total signings in the quarter compared to their 12% weighting in the systems today. And following the completion of last year's quality review, we've seen the level of signings across the Holiday Inn Brand Family and Crowne Plaza increased by 22% on the same quarter last year.
 On a regional basis, in the Americas, we saw the strongest Q1 signings performance since 2018 with almost 8,000 rooms added to the pipeline. There was good breadth to the signings. For example, we signed 3 Kimptons in the quarter on top of the 4 signed across the whole of 2021 and a further 8 avids were signed in the quarter, taking into combined open and pipeline distribution to 213 hotels.
 In EMEA, there continues to be strong traction for our premium and luxury and lifestyle brands. There were 4 intercontinental signings, including a resort destination in Cyprus and the debut voco signing in Japan. We continue to see strong owner interest and conversion opportunities with almost half of the rooms signed coming from conversion. In Greater China, 32 new hotels were signed in the quarter despite the challenges of COVID restrictions. The momentum behind Holiday Inn Express saw 10 new signings in the quarter, while our Crowne Plaza brand continues to demonstrate its attractiveness with 12 signings across the region.
 Finally, a note on the very recent financing of our revolving credit facility. In April, we refinanced our previous $1.35 billion bank facilities with a new 5-year RCF at the same value and with pricing reset to pre-pandemic levels. As we were already back within our original covenant requirements, all the prior COVID-related amendments have been removed.
 So to summarize the first quarter, had a very positive start to the year, driven in particular by strong trading in the U.S. as well as improvements in EMEA with forward booking data suggesting the momentum will continue. Net system size growth was 3.4% year-on-year on an adjusted basis. The pace of signings, driven by the particularly strong performance in the Americas led to an increase in our pipeline. We're making good progress on reversing to prior levels of net system size growth. And with a growing pipeline, we are well placed to sustainable industry-leading growth. Whilst trading volatility remains in certain COVID-impacted market, the strong demand and pricing power in the rest of the business gives us confidence of a full recovery.
 Just before opening up the call for questions, I'd like to say a few words about Ukraine and Russia. The devastating scenes of the war in Ukraine and the humanitarian crisis are deeply saddening, and all those impacted are in our thoughts. We continue to support our hotel teams and colleagues as well as charities providing aid on the ground and working with owners in other countries to help accommodate Ukrainian refugees.
 In March, we announced that we closed our Moscow office, and we are supporting colleagues working remotely. Future investments, development activity, new hotel openings in Russia have been suspended, and any profit will be donated to support relief efforts. Last month, we made a further announcement that we continue to evaluate the complex long-term management or franchise agreements with our ISG branded hotels operate in Russia with independent third-party companies. We are in discussions with owners. This is a complicated process and will take some time.
 With that, I'll now pass back to Lydia to open up the call for questions. 
Operator: [Operator Instructions] Our first question today comes from Bilal Aziz of UBS. 
Bilal Aziz: Three for me, please. Firstly, just on the pace of room openings for the remainder of the year, I appreciate that Q1 is seasonally quite low. But pre-pandemic, you usually added somewhere between 8,000 to 12,000 rooms. So you're tracking just a bit behind that. So whilst clearly targeting a high net number at the end. So perhaps you could talk us through the acceleration or the risks around China in that. #2, just on the U.S. signings, please, clearly quite a good signing number, now above 2019 level. Paul, I think you mentioned previously that franchise applications were picking up. I was just wondering if you've seen any change in that dynamic as financing and construction costs continue to rise? And then very finally, just in EMEA, and I appreciate you don't give April figures, but if perhaps you could qualitatively just give us some insight into the pace of recovery so far, given some of the data has particularly encouraging on that side? 
Paul Edgecliffe-Johnson: Thanks, Bilal. Yes, so in terms of room openings and when they're going to materialize through the year, if you look back on pre-COVID, we always saw that the fourth quarter -- the first quarter was the smallest proportion and back to 2018, then actually only 14% of our openings for the year occurred in the first quarter. And I think we're going to see that sort of shape through the year, in China and you referenced that, I mean we opened 5 hotels. We have a further 8 that are ready to open, but we have to get the licenses in place. And the offices of the licensing agencies are close, we can't get those [indiscernible] documents officially chopped and you can't open the hotel without that.
 So there is some pent-up demand, which will come through in the balance of the year as China reopens. There's a lot of demand still there for our hotels, and we're very pleased with the signings performance that we saw there.
 In terms of U.S. signings, yes, we were pleased with the pickup there, 5 sequential quarters of improvement, and this is the best signings since 2018. And continue to see a lot of interest from our owners, if they want to own our brands. They know that they make a lot of money from them. There are challenges, of course, there's challenges in -- as they have been for a while, there's challenges in getting construction crews, there's challenges in getting materials, there's challenges in getting financing. But that's the benefit for us of working with a very large entrepreneurial owner base of owners who overcome those challenges. That's what they do. So a lot of interest, a lot of demand continues.
 And yes, in terms of April data, really both in the U.S. and in Europe, strengthened a lot in Europe, you pick that one up, particularly, but also in the U.S., so building up to what I think will be a good second quarter, a very strong summer of demand with good pricing and then to the balance of the year. And what we've got on the books, although you have relatively short booking windows. So we have a lot on the books but what we have on the books is very encouraging. 
Operator: The next question in the queue comes from Jamie Rollo of Morgan Stanley. 
Jamie Rollo: Three questions, please. First, just on the first quarter, U.S. RevPAR performance of down 6%, the market was a bit better at down 3%. Was that just the chain scale mix with less luxury exposure? Or are your brands also underperforming their relative segments in the U.S.? Secondly, on Russia, could you just -- I think we know the room numbers, but maybe just remind us in terms of the percent of your fees in 2019, does it -- is it an overall underindexing versus the sort of 1% of group rooms? And then just picking up on the U.S. signings figures. The pipeline for avid is down again. I think you have more terminations than signings. So what's sort of happening on the avid brand, in particular, please? 
Paul Edgecliffe-Johnson: Thanks, Jamie. So, yes, in terms of first quarter U.S., pleased with the performance that we've seen. And you've always got to, as you know, take out the geographical mix and also how far we had recovered before. When I looked at the head-to-head for us against our major competitors, and actually the brands are doing very well against the relative rents that we compete against with Hilton. And really, that's what I focus on most, so seeing very encouraging performance there.
 In terms of Russia, it's a relatively small part of our business, as you said, Jamie, and the fees are relatively small there. So you're not going to see anything really coming through in the numbers. And we have said that any profit that we did make in the region would be donated to humanitarian causes. But I don't think you're ever really going to see that coming through as a drag on earnings, if you like.
 And U.S. signings, yes, U.S. signings up pleasingly and across open and pipeline avids, I think we're up to around 218 or so, more than 50 open avids and a strong pipeline. You'll remember that when we launched the brand, we launched with a very large pipeline and we gave owners of our existing product opportunities to take down various sites, so they had the opportunity of that first-mover advantage. And where they haven't then started construction. So we're confident that they will get a hotel open on the site they're taking down. Then effectively, we'll take that back and we'll resell it on somebody else because we don't want to end up with a pipeline that doesn't get open, and there's a lot of demand out there. So we're just effectively refreshing those sites, and then we'll sell it on to someone else. So we're very pleased with the progress we're seeing with avid. 
Jamie Rollo: And if I could just follow up on one of the previous questions, just on the obviously very good Europe rebound in the last sort of 4 to 6 weeks, trying to move the other way. Is it fair to say that April for the group is running sort of down in the high single digits to sort of several hundred basis points improvement on March is down 12, but you're sort of not yet positive, is that a fair estimate? 
Paul Edgecliffe-Johnson: I think it's about right, Jamie. Yes, absolutely. And if we didn't have -- obviously, we didn't have the China drag, you'll be looking significantly better. I mean, Americas was almost at parity in March, and then it's strengthened quite considerably in April. But until we have China normalized, then you're not going to see the full strength of that come through in the reported numbers. 
Operator: Next in the queue, we have a question from Vicki Stern of Barclays. 
Vicki Lee: Just firstly, sort of piecing together some of the comments you've made on the openings, acknowledging the construction point in the U.S. and some of those delays in China. Just if you could reflect on your overall level of confidence as you sit here today in achieving that 4% net system growth by the end of the year? Secondly, just on the balance sheet. I think back at the time of the full year results, you were suggesting you'd feel quite comfortable in the upper part of that 2.5 to 3x leverage range this year, obviously, a lot has happened in the last few months. But just as you think -- as we all think about the next sort of phase of that cash return process, if you could just sort of reflect on where you're feeling your comfort level around that leverage today? Just finally on the business travel, obviously, the recovery on business travel is lagging leisure. And If you could just break out within that sort of forward-looking piece, any sense on what you're seeing on the business travel recovery around the world? 
Paul Edgecliffe-Johnson: Thanks, Vicki. So yes, I mean we said obviously, back at prelims that our ambition and our expectation was the 2022 and 2023, we feel a lot more like 2018 and 2019. And so we are targeting getting to a 4% net growth number for this year. I did say at the time, it's not a walk in the park to do that isn't just materialize. We have to push the business to get that. But that continues to be what we're pushing the business to achieve. And there's some things that help. So the U.S. being strong, a lot of conversion signings in EMEA, those all help. And there's some headwinds with China being particularly difficult at the moment, just the physical logistics of getting materials to our hotels so that they can stop the hotels, so they can be open and getting things like licenses. So we have to see how the balance of those risks and opportunities materialize through the year, but it maintains our -- it continues to be our objective and our target to get to that 4%.
 In terms of the balance sheet, yes, no real change. I mean, I've said it for a long time, best part of 20 years, we've been talking about what was 2% to 2.5% and then with the change in accounting bringing on leases 2.5% to 3% and in a low interest rate environment, then I'm still happy to be at the top end of that. We've seen the resilience of the business, the very strong cash-generative nature of our model. And so there's nothing that would make back away from that intention. And obviously, we declared the dividend at prelims, which I think demonstrates as well as our track record over the last couple of decades, how we feel about returning cash to shareholders, but nothing further to say on that today. 
 And in terms of business travel versus leisure, business travel is definitely picking up. And what's encouraging is it's picking up at a good rate. It does differ a little by market around the world. So as I commented on some of the Eastern Seaboard cities seeing a lot stronger demand than some of the West Coast cities. London is strong -- I'm currently in the InterContinental Park Lane, and it had its strongest April since pre-pandemic. 2019 April was very, very strong here for groups and meetings and we've exceeded that, and that's very encouraging to see. So I'm not saying that, that's a bellwether for all of our hotels, but it's definitely recovering rapidly. 
Vicki Lee: And sorry, just to follow on from that. Are you seeing the same trends on price when it's about that business travel recovery coming through as you've been seeing on leisure? 
Paul Edgecliffe-Johnson: So we are still behind in terms of business on rate, but it's only marginally behind. And as that continues to build, then I think we'll get back to parity on price. And similarly, with group. And group is recovering and the pricing has stayed within a few percentage points of where we were pre-pandemic. So you haven't got that requirement to sort of build back up the pricing because it's been held which is actually very positive. 
Operator: The next question comes from Richard Clarke of Bernstein. 
Richard Clarke: Three, if I may. Your U.S. peers, Hilton and Marriott have given some slightly cautious guidance beyond April that basically April is kind of as good as it gets relative to the 2019 position. I'm just wondering, I know you're not going to give us any specific guidance. But in terms of direction of travel, do you still see drivers of momentum in the U.S. business beyond this month? And then second question, just on China, just a sense of what you're seeing on the ground in China. Are things getting incrementally worse? Are you seeing more lockdowns, more hotels being closed or are things begin to ease? And any particular challenges of having your head office in Shanghai that's causing you kind of operationally in China there?
 And then the third question, just on extended state because it seems the biggest move in the U.S. pipeline for me is Candlewood Suites, it's about 1,000 more rooms in Candlewood Suites. It's not a brand you talk about very much. It only exists in the U.S. Just maybe talk about the demand for that brand. Is it fitting into the zeitgeist of people wanting to work from anywhere or is it an infrastructure play, maybe just what's driving what looks like a good performance there? 
Paul Edgecliffe-Johnson: Thanks, Richard. Yes, so, is April as good as it gets in the U.S.? I think we still have very short booking windows so it's always hard to call. But my view is we're going to see a very strong summer of demand for all the reasons I've talked about before, a strong rate across each of our segments. Demand still building, and there's more demand comes back for business and for group on top of very strong leisure, then that does all go well for continued very strong recovery. So I guess no certainty, but I don't think April is as good as it gets personally.
 China has been challenging. And we've seen that come through in the numbers. And I think what's important to note is that our experiences in the last 24 months show that China demand does come back very rapidly as it has elsewhere in the world once restrictions are lifted. It has been very difficult for the citizens of Shanghai, I think we've all seen that in the global news. And our colleagues in Shanghai are, of course, impacted similar to all other Shanghai residents, but they're very resilient and very focused on continuing to drive our business. And if you look at the very strong levels of signings that we saw in China in the first quarter despite the challenges, I think that just shows us how committed they are. So a very strong team out there.
 In terms of extended stay and Candlewood Suites, Candlewood Suites is a fabulous brand. It's got very high customer satisfaction scores. And owners, of course, like extended stay product because it has very high margins, relatively small personnel on site. And the return on capital employed is very good. So extended stay as a category has seen a lot of increased owner demand. So really pleased with that. And with Staybridge and indeed with Atwell Suites, our new launch, which we've got a number of really good signings for, and we've got our first one open in Miami and our next one opening up in Denver. So really good locations for that new brand. So three good offerings in that segment, which will drive a lot of growth for us over the coming quarters and years. 
Operator: [Operator Instructions] We have a question from Jaafar Mestari of BNP Paribas. 
Jaafar Mestari: Three hopefully quick ones for me, please. Firstly, just on what on the books for beyond summer. I appreciate it is going to be very, very small for everyone. But for example, [indiscernible] we're normally 15% booked for Q4 at this stage. And this year, we're only 10% [indiscernible]. Did you have any numbers like that for us vis-a-vis, that should be helpful even [ if you have ] small samples? And then on U.S. segment, you've talked about the segments that may be holding you back a little bit. You're less exposed to leisure, less exposed to resorts, less exposed to luxury compared to the market, et cetera. So these are quite obvious mix reasons. What about any positive mix factors that could kick in? And in particular, I'm thinking about your exposure to oil-producing states, you overweight those. And historically, you've been able to outperform the market in periods where drilling extraction activity picks up, et cetera? Are you seeing any advanced signs of that in the energy situation worldwide?
 And then just lastly, on next room openings. I think consensus for this year is 4.3%, Marriott says 3.5% to 4%, Hilton says 5%. So I guess you are going to be industry-leading this year. Without asking you to comment on competitors too precisely, what do you make of the momentum slowing in some of these very, very hot competitor brands that we're routinely doing 6% or 7% pre-COVID? Is that a lag as competitors because their categories are recovering more slowly or is there anything structural where you're winning concept that works in [indiscernible] won't work in '22, '23 [indiscernible]? 
Paul Edgecliffe-Johnson: Great. Thanks, Jaafar. So I mean the nature of our business means that we don't have a lot, as you said, that is on the books multiple months out. What we do see is encouraging into the rate that we're able to get. So groups that are getting booked up at strong rates. So I wouldn't call out any particular numbers. And obviously, [indiscernible] the U.K. business, we are more predominantly a global business, more predominantly in the U.S., so just different factors at play there. But what we do have on the books and what visibility we have as we look forward gives us encouragement on rates and an increasing demand environment.
 In terms of U.S. segments, yes, as you say, leisure has been very strong, and we've seen recovery in the other segments of business and group. We are weighted into the Permian Basin, as you say, in an oil producing area, and that has stimulated demand. But there's a lot of factors at play there that mean that perhaps before, if you're looking back in 2017, 2018, you were looking at a few basis points of difference, you might be able to isolate it to say, well, it's these hotels in the Permian Basin that's driving it, you've now got such large increases year-on-year. It is harder to go back and say, well, it's exactly these hotels because you've seen such volatility.
 In terms of the net growth on the competitive basis, we are obviously focused on our own growth and pushing our own capabilities. If you think back to 2019, and we actually had the highest level of growth in the industry. We had more removals than our top competitors, but that still gave us that very, very competitive performance overall, which we hadn't had a higher level of removals, would have [indiscernible] our competitors. So that's what we aspire to, and that's where everything in the strategy over the last few years has been building to make sure that we can be industry leading, and it remains a top priority for us. 
Jaafar Mestari: And just to clarify on oil and gas, you did say it has already difficult to anticipate, has been stimulating demand? 
Paul Edgecliffe-Johnson: Yes. I mean there have been strong markets. And as you're going back into the hotels in those areas, people coming back to restart rigs, et cetera, that has been an element of stimulus, but because you've seen too many other stimulus coming into those hotels as well, you've seen such big swings, it's very difficult to isolate exactly what the impact is. 
Operator: And we have a question from Alex Brignall of Redburn. 
Alex Brignall: Just one, please. It's really just a sort of higher-level question about what's driving demand and sort of how permanent it is, I guess there's a lot of people that are based you're saying is now -- I guess is it at the April comment, is now as good as it gets. So we're seeing a sort of release of massive pent-up demand and that might then phase to the extent that you have visibility on that or just an opinion would be interesting. What do you think is kind of going on that because obviously, there very strong at the moment? But broader macro situation, it's a bit of pressure. So any thoughts there would be much appreciated. 
Paul Edgecliffe-Johnson: Thanks, Alex. And without going back, I guess, overall, my previous comments on it, with the visibility that we do have and also backed and correlated by the data, say, from the airlines, on their forward bookings and rate and how much demand there is, we remain very positive about summer and believe that there's still a lot of consumer demand for our brands and there's still price to go for a significant amount of pricing power. So we're expecting a good Q2 and Q3, and a good Q4. So it remains a very good industry and a very good environment for us to be operating in. 
Alex Brignall: Great. Maybe if I -- just to maybe understand that, just beyond summer and the rest of the year, I guess if you talk to the businesses that you have as major clients or some of the group business, do you get a sense that 2022 is going to be a particularly good year and then it might be tougher upwards? Or do you get a sense of that sort of will follow through? 
Paul Edgecliffe-Johnson: Well, there's nothing that is coming through from any conversations with corporate clients that would suggest that. We're seeing meetings and events coming back strongly. We're having our owner conference in a few weeks, which is 6,000 owners getting together in Las Vegas and very significant delegate uptake for that. And there's a lot of things that have been postponed that are coming back, and the business does require people getting together. That's what stimulates additional sales and things getting done. And everybody is on a growth trajectory, so they want to meet to stimulate that growth. So I think we returned to what we saw pre-pandemic. 
Operator: [Operator Instructions] We have no further questions in the queue. So I'll hand the call back to Paul Edgecliffe-Johnson for closing remarks. 
Paul Edgecliffe-Johnson: Thanks, Lydia, and thanks, everybody, for joining us this morning. Good to talk to you all. And just to let you know that our second quarter update and the financial results for the first half of the year overall will be out on Tuesday, the 9th of August. So look forward to speaking to you all then, if not before. Have a great day, everyone. Bye for now. 
Operator: This concludes today's call. Thank you for joining. You may now disconnect your line.